Operator: Hello, ladies and gentlemen. Thank you for standing by for ReneSola Ltd.'s First Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the call over to your host for today, Mr. Tony Hung, ReneSola's Vice President of International Corporate Finance and Corporate Communications. Please proceed, Mr. Hung.
Anthony Hung: Hello, everyone, and welcome to ReneSola's First Quarter 2013 Earnings Conference Call. ReneSola's earnings results were released earlier today and are available on the company's website, as well as our newswire services. You can follow along with today's call by downloading a short presentation available on the company's website at www.renesola.com. On the call today are Mr. Xianshou Li, our Chief Executive Officer; Mr. Henry Wang, our Chief Financial Officer; and myself. I will discuss ReneSola's business highlights and strategy, and Mr. Wang will go through the financials and guidance. We will all be available to answer your questions during the Q&A session. Before we continue, please note that today's discussion will contain forward-looking statement made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's results may be materially different from the views expressed today. Further information regarding these and other risks and uncertainties is included in the company's annual report on Form 20-F and other documents filed with the U.S. Securities and Exchange Commission. ReneSola does not assume any obligation to update any forward-looking statements except as required under applicable law. Please be reminded that unless otherwise noted, all figures mentioned during this conference call are in U.S. dollars. If you have downloaded our presentation, please turn to Page 14 for our company highlights and see Page 9 for a snapshot of our financial progress. Market conditions remain challenging for the industry as a whole and continue to impact our business in the first quarter of 2013. Although low ASPs continue to affect our margins, we have been successful in building up our traditionally higher-margin module business as compared to wafer production. Leveraging our leading wafer technology, we've expanded our sales and marketing efforts and transformed our company into a leading global solar brand and technology leader over the past year. Additionally, we've invested in downstream products like AC modules, small-scale storage systems and residential PV solutions, which we hope to market soon. Despite a difficult first quarter, we believe the solar market is continuing to stabilize. We will continue to invest in technology to reduce our costs and improve efficiencies so that we are poised for growth as the market improves. I will now quickly review our shipments. Total solar product shipments in the first quarter of 2013 were 662.1 megawatts, a decrease of 7.2% from 713.2 megawatts in the fourth quarter. Wafer shipments decreased 14.6% quarter-over-quarter to 335.5 megawatts as more wafers were used internally to produce our own branded modules, while module shipments increased slightly quarter-over-quarter to a record high of 326.6 megawatts as a result of increased demand for ReneSola's products as well as the increasing competitiveness of solar power as a viable power source. ASPs continued to decrease in the first quarter of 2013 with wafer ASPs dropping to $0.20 -- $0.22 per watt and module ASPs dropping to $0.61 per watt in the first quarter. This compares to $0.24 per watt and $0.63 per watt in the fourth quarter of 2012. The combination of declining ASPs and lower wafer shipments resulted in revenues of $284.2 million, down 7.3% quarter-over-quarter. Fortunately, we are seeing prices begin to stabilize and even rise, and our low-cost structure and increased module shipments should position us well as conditions improve. Please turn to Slide 6 for an update on our R&D efforts. We continued to invest in R&D in the first quarter of 2013 to improve the technology behind our brand, products and manufacturing. Our next-generation Virtus A+++ wafer, which has an average efficiency of 0.15% to 0.2% higher than that of Virtus A++, will begin mass production this quarter. Our full line of solar module products has achieved PID-free status, and a number of our modules has been accredited by TÜV NORD to withstand difficult desert-like and dusty conditions, further substantiating the reliability of our products. In addition, our 210-watt monocrystalline and 260-watt multicrystalline modules are now in full production due to the joint efforts of our wafer cell and module departments. We continue to develop a frame-integrated second-generation Micro Replus micro-inverter, which will reduce costs to our customers by 20% compared to the first-generation model. Furthermore, we are developing an AC module that combines a solar module with Micro Replus. At the same time, a specialized small-scale storage research team has been established to develop a series of systems that will significantly increase the efficiency of our products. Please turn to Slide 7 for an update on our cash and debt position. As of March 31, 2013, we had debt of $958.6 million, excluding $111.6 million in convertible notes. Total bank borrowings increased by $168.5 million sequentially at the end of the first quarter. In March of this year, we signed a 15-year loan agreement with China Development Bank, totaling RMB 320 million or approximately USD 50.9 million. Our net cash and cash equivalents position plus restricted cash was $442.7 million at the end of the first quarter, an increase from $268.1 million at the end of the fourth quarter due to the receipt of additional financing and positive operating cash flow, which we expect to continue. Our net cash inflow in the first quarter from operating activities was USD 4.2 million compared to a net cash inflow of USD 25.8 million in the fourth quarter of 2012. We are expecting an operating cash inflow of over $40 million in the second quarter of 2013. I would now like to turn the call over to Henry, who will discuss our financial results in more detail.
Henry Wang: Thanks, Tony. Please turn to Slide 9 through 12 for a look at our financial progress. A challenging supply demanding situation and a lower ASPs contributed to lower revenues in the margins in the first quarter. Fortunately, our lower production costs have helped to minimize losses. We are confident we can continue to lower cost and increase our high-margin module business, delivering a positive gross margin in the same quarter and capitalize on any improvements in the marketplace. I will now review the details of our financial results. Net revenues for the first quarter were $284.2 million, exceeding our guidance and representing a sequential decrease of 7.3% from $306.5 million due to a decrease in ASPs and the lower wafer shipment. Gross loss for the first quarter was $5.6 million compared to a gross profit of $10.3 million in the first quarter, primarily due to the fast [ph] decline ASPs and lower wafer shipments, as well as a temporary halt in the production at the Sichuan polysilicon plant to upgrade the facilities and the equipment. Gross margin for the first quarter was negative 2.0% compared to a gross margin of 2% -- of 3.3% in the fourth quarter. Operating loss for the first quarter was $33.4 million compared to an operating loss of $23.8 million in the fourth quarter. Total operating expenses for the first quarter were $27.8 million, down 8.2% from $34 million in the fourth quarter. The sequential decrease in operating expenses was primarily due to a reduction in our R&D expenses. Operating expenses represented 9.8% of total revenues in the first quarter compared to 11.1% in the fourth quarter. Operating margin for the first quarter was negative 11.8% compared to an operating margin of negative 7.8% in the fourth quarter last year. Net loss attributable to holders of ordinary shares for the first quarter was USD 39 million compared to a net loss of $80.9 million for the fourth quarter last year. This represents basic and diluted loss per share of $0.23 and basic and diluted loss per ADS of $0.45. Now please turn to our guidance, which can be found on Slide 13. For the second quarter, we expect the total solar wafer and module shipments to be in the range of 700 megawatts to 720 megawatts, with solar module shipments expected to be in the range of 400 megawatts to 420 megawatts. Revenues are expected to be in the range of USD 310 million to USD 330 million. And gross margin is expected to be in the range of 3% to 5%. We are expecting operating cash flow of over USD 40 million in the second quarter. For the full year 2013, we expect total solar wafer and module shipments to be in the range of 2.7 gigawatts to 2.9 gigawatts, with solar module shipments to be -- expected to be in the range of 1.4 gigawatts to 1.6 gigawatts. At this time, we would like to take any questions from you, if you have. Operator, please.
Operator: [Operator Instructions] And our first question comes from the line of Philip Shen from Roth Capital.
Matt Koranda - Roth Capital Partners, LLC, Research Division: This is Matt on for Phil. Just wanted to start by exploring your guidance for a moment. If we take the midpoint of your Q2 guidance and 2013 guidance, it seems to imply another 1,400 megawatts for the remainder of 2013. Could you give us a sense for how this breaks down between Q3 and Q4?
Anthony Hung: Sure. [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: Matt, so we think that it actually should be fairly even. It should be 700 megawatts per quarter.
Matt Koranda - Roth Capital Partners, LLC, Research Division: Okay. That's helpful. And then in terms of ASPs, are you guys seeing pricing resilience in Q2 and for the balance of 2013? On the last call, I think you guys said you saw maybe a potential $0.02 to $0.03 rebound in module pricing during Q2. Is that still the case?
Anthony Hung: [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: Okay. So in terms of our thinking, we think that, yes, in the second quarter, it will go up from the $0.61 or so on average in the first quarter by $0.02 to $0.03. And I would think that in Q3, it might go a little bit higher than that, so it may hit, say, $0.65. And Q4 is a little too far away for us to see right now.
Matt Koranda - Roth Capital Partners, LLC, Research Division: Great, that's helpful. And then just one more, if I may. Could you break down your shipments during Q1 by geography for us?
Anthony Hung: Sure. Let me double check with the team on that. [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: [Chinese]
Juliet Yang: [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: Okay. [Chinese] So for Europe, it'll take up -- it took up about 50% in the first quarter; U.S., about 10%; China, about 20% to 30%; and Australia and Japan, the remainder.
Operator: And our next question comes from the line of Satya Kumar from Credit Suisse.
Brandon Heiken - Crédit Suisse AG, Research Division: This is Brandon Heiken speaking on behalf of Satya Kumar. I was wondering if you could talk about your expectations for cost reductions for the rest of the year. I know you addressed it on the last call. I was wondering if there were any changes to that, and then I have a follow-up question.
Anthony Hung: [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: Okay. [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: Okay. So on the wafer side, we think that maybe we can lower it by $0.01 sometime this quarter, so it's from something like $0.22 per watt to $0.21. Module, depending on how you do the math, I think it will be something like from -- also lowering $0.01, so from $0.55 to $0.54.
Brandon Heiken - Crédit Suisse AG, Research Division: Okay. And how do you expect that to progress for the rest of the year?
Anthony Hung: [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: Okay. So we can't say right now for the second half of the year, and we think that maybe -- it may be stable at around this type of cost level. But we're going to, as a result of that, put some focus on improving the ASPs and improving the value of our products to our customers.
Brandon Heiken - Crédit Suisse AG, Research Division: Okay. And then I was wondering how the EU tariffs may affect your operations and if you're making any plans to deal with that.
Anthony Hung: [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: Yes, so Brandon, generically speaking, as you know, from our press releases and some of the other things we talked about in the past, we're already planning to outsource quite a bit this year. And right now, you've probably seen the news from our side, we've got outsource capacity in South Africa, in Poland, et cetera. So in essence, this is a eventuality, the European tariffs are below [ph] that we've been preparing for. It may even be interpreted in some ways as a positive for us. So we think that depending on exactly what happens, we'll adjust accordingly. But certainly, we've been preparing for this for a long time.
Brandon Heiken - Crédit Suisse AG, Research Division: Great. How much capacity do you have outsourced there or planned or...
Anthony Hung: Well, right now, we have 400 megawatts. But as you know, from our earnings call last time, that essentially our guidance was from 2.7 to 2.9 gigawatts. So no matter what, we will need to outsource something like 700 to 900 megawatts.
Operator: And our next question comes from the line of Sanjay Shrestha from Lazard Capital.
Aditya Satghare - Lazard Capital Markets LLC, Research Division: It's Aditya Satghare in for Sanjay. I have 2 questions. First is on China. Could you help us understand your go-to-market strategy in China? And then as we look at the Chinese market for this year with expectation of about 10 gigawatts, how do you expect the second half to progress given that installations were relatively slower in the first half, so we get a big uptick in the second half? And how do you sort of make sure that you get on some of these new projects which come on in the second half? And then I have a follow-up.
Anthony Hung: Sure. Let me break up your question into 3 questions and answer them individually. [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: To answer your first question about the market, I mean, obviously, we've done some business in China, in particular the end business, and in particular towards the end of last year. And while we're very, very positive that we're sure that it's going to be a very, very big number, and there's going to be substantial demand, we don't look upon the overall market conditions as being favorable. There's many, many suppliers. It's quite competitive and terms can be bad. So on one hand, we are very positive on the Chinese market in the sense that it will be a big number. On the other hand, in terms of how we will deal with the market, we'll be very, very cautious and try to avoid the difficult terms that are out there. And let me now ask your second question just now about the breakdown of demand. [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: With regards to your second question, actually, we think that in the first half, in particular in the current quarter, the second quarter, the market has been quite active. We think that when it's all said and done, the first half of the year for China will probably add up to 5 gigawatts. Now unfortunately, a lot of policies aren't set. So we think that the second half of the year, unless the policies are set, may actually become more difficult. So we think, actually, it might not have looked that good in the first quarter, but certainly, in the second quarter, it looks like there is a lot of demand out there. And sorry, what was the third question that you asked?
Aditya Satghare - Lazard Capital Markets LLC, Research Division: This actually answered my questions. I'll ask a quick follow-up here.
Anthony Hung: Okay.
Aditya Satghare - Lazard Capital Markets LLC, Research Division: When you look at capacity in China, what is your sense of what is happening in terms of capacity being idled? And do you get any sense that if the market, as you mentioned, is essentially strong in the second quarter, is there any potential for some of the sort of idle capacity to come back in the market? And do you think it is in -- out of the market on a structural basis?
Anthony Hung: Okay. [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: Okay. Yes, so Mr. Li says that there was a capacity that's idle, but a lot of it has certainly been coming back online. In fact, a lot of the smaller factories are taking advantage of the Chinese demand and are very, very active right now in the second quarter. So hence, actually, there isn't that much idle capacity as perhaps people may be expecting. That said, Mr. Li believes that once the European countervailing duties come into place, we will probably see some permanent closures of the smaller capacities that are out there.
Operator: And our next question comes from the line of Emily Liu of Arete Research.
Emily Liu - Arete Research Services LLP: I have 2 question if I may. The first question is, I wonder whether you can update us your poly plan status in terms of capacity, debottlenecking, utilization and cost structure. And my second question is actually a follow-up on the Chinese demand. I think chairman [ph] mentioned he estimate the first half run range in China is 5 gig. Does he -- can he give us like idea on how this break down between first quarter and second quarter and what is his expectation on Chinese demand for the whole year?
Anthony Hung: Okay. And Emily, as we speak, feel free to interrupt and ask further questions in Chinese. [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: Okay. So Emily, I think you understood that. Don't know if you have any further on that, but for the other analysts on the call, so right now, we've basically started the poly plant, and it is progressing. Right now, we're thinking sometime in June we should be able to reach 80% utilization. [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: Okay. [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: Okay. So Emily, I think you understood that. So first half, because of, yes, a holiday, it may be hard to sort out some of the details. But the second quarter should be far and away larger than the first quarter. Third quarter is going to be a, probably a tough time for Chinese demand as a lot of policies are uncertain. So it's a little hard to see exactly how it will play out.
Emily Liu - Arete Research Services LLP: Okay. [Chinese]
Xianshou Li: [Chinese]
Emily Liu - Arete Research Services LLP: [Chinese]
Xianshou Li: [Chinese]
Emily Liu - Arete Research Services LLP: Okay. [Chinese] Let's just do as a follow-on. [Chinese]
Xianshou Li: [Chinese]
Emily Liu - Arete Research Services LLP: Okay. [Chinese]
Anthony Hung: Yes, so for everyone else on the call, Mr. Li indicated to Emily that given the strong demand in China in the second quarter, we're probably looking at a 5% increase in Chinese domestic sales modules ASPs. And also, given the fact that we think we're going to be fully up and running in June, so we think for the second half of the year, our poly production should be about 5,000 metric tons.
Operator: [Operator Instructions] Next, we have a follow-up question from Philip Shen of Roth Capital.
Matt Koranda - Roth Capital Partners, LLC, Research Division: It's Matt again. Just a brief follow-up for you. Last call, you guys gave an outlook for 2013 by geography. Do you still expect the same geographic shipment mix for the full year? And then how do you see ASPs trending in each key region? Additionally, what are ASPs in each country or region currently?
Anthony Hung: Okay. [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: Okay. I think right now, there may be some adjustments overall. But in terms of what we're looking at for what we'd like to do starting from Q3 and in terms of our goal is to derive something like 1/3 of our revenues starting from the third quarter from the U.S., about 1/3 from Europe and 1/3 from Asia Pacific. And now let me ask the question that you had about ASP. [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: Okay. So Mr. Li indicated that because of what's likely to happen with the European tariffs, we're thinking European ASPs could be something like $0.70. For the U.S., we're probably looking at something in the third quarter of $0.65 to $0.70. For the Asia-Pac region, a lot of focus will be placed on Japan, as well as one of our traditional strongholds, Australia. We think that some place like Japan might take up 60% to 70% of our Asia-Pac sales. As a result, we'll probably be able to see ASPs of at least $0.65 per watt if we're successful upon the execution of the strategy. And hence, overall, big picture, we think in the second half of the year, for our company as a whole, we should be able to see ASPs above $0.65.
Operator: [Operator Instructions] Next we have a follow-up question from Emily Liu of Arete Research.
Emily Liu - Arete Research Services LLP: [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: Yes, so just for the sake of everyone else on the call, Emily's question was regards to Japanese market, as well as our overall strategy. And big picture is, as a company, we're going to be very much focused on the end users and the end consumers because ultimately, the terms there are a little bit better, and this is based on our experience in selling modules. And into the Japanese market, this is, of course, especially important, so we'll continue to have increasing focus on the consumer market.
Operator: And our next question comes from the line of Wei Feng from Luminus Management.
Wei Feng: Tony, Mr. Li, the first question is on the 400 megawatts you have overseas, third-party sourcing. Is that including wafer, cell and module, the full production line, or it's just module?
Anthony Hung: Sure. [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: Okay. [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: [Chinese] Okay. I think you understood that, but for the purpose of making sure everybody understands, it's 400 megawatts overseas of modules. The cell capacity that we can outsource easily is actually more, 600 megawatts, and the wafers are in the planning stage.
Wei Feng: And for each product, what is the actual cost for -- compared to your own cost and -- versus the outsourcing cost?
Anthony Hung: Okay. [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: Okay. So I think you understood that, but for outsourcing to Europe, on the module side, it will probably cost $0.03 to $0.04 more. For India or South Africa, on the module side, it will probably cost $0.01 to $0.02 more. For -- on the cell side, when we outsource, this is actually where the cost increase the most, it's $0.06 to $0.07. And on the wafer side, we're still planning, so we don't know yet.
Wei Feng: Last question. If you're running 80% utilization at your poly segment, what is the average cash cost by the end of June?
Anthony Hung: [Chinese]
Xianshou Li: [Chinese]
Anthony Hung: Okay. So we target to reach $15 per kilogram cash cost by the end of June.
Operator: [Operator Instructions] Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect the line.